Operator: Good day and welcome to the Office Properties Income Trust Second Quarter 2021 Earnings Conference Call. [Operator Instructions] Please note this is being recorded. At this time, I would like to turn it over to Olivia Snyder, Manager of Investor Relations. Please go ahead.
Olivia Snyder: Thank you and good morning everyone. Thanks for joining us today. With me on the call are OPI’s President and Chief Operating Officer, Chris Bilotto and Chief Financial Officer and Treasurer, Matt Brown. In just a moment, they will provide details about our business and our performance for the second quarter of 2021, followed by a question-and-answer session with sell-side analysts. First, I would like to note that the recording and retransmission of today’s conference call is prohibited without the prior written consent of the company. Also note that today’s conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other securities laws. These forward-looking statements are based on OPI’s beliefs and expectations as of today, Friday, July 30, 2021 and actual results may differ materially from those that we project. The company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today’s conference call. Additional information concerning factors that could cause those differences is contained in our filings with the Securities and Exchange Commission or SEC, which can be accessed from our website, opireit.com or the SEC’s website. Investors are cautioned not to place undue reliance upon any forward-looking statements. In addition, we will be discussing non-GAAP numbers during this call, including normalized funds from operations or normalized FFO, cash available for distribution or CAD, adjusted EBITDA and cash basis net operating income, or cash basis NOI. A reconciliation of these non-GAAP figures to net income are available in our supplemental operating and financial data package, which also can be found on our website. In addition, we will be providing guidance on this call, including normalized FFO and cash basis NOI. We are not providing a reconciliation of these non-GAAP measures as part of our guidance, because certain information required for such reconciliation is not available without unreasonable efforts or at all, such as gains and losses or impairment charges related to the disposition of real estate. Now, I will turn the call over to Chris.
Chris Bilotto: Thank you, Olivia and good morning. Welcome to the second quarter earnings call for Office Properties Income Trust. Yesterday, we reported normalized FFO of $1.15 per share, exceeding our expectations as well as consensus estimates for the quarter. During the second quarter, we advanced many of our core business strategies focused on enhancing the overall quality and geographic footprint of our portfolio, driving healthy portfolio cash flow growth and retention through proactive asset management and leasing, managing through areas of known risk and opportunity, and effective balance sheet management to execute on our deleveraging and refinancing initiatives. Overall, we have seen office leasing activity begin to recover and remain encouraged by the long-term outlook for our company. Turning first to an update on our acquisition and capital recycling activity, as previously announced, in June, we acquired two core Class A office properties for a total of $550 million. These acquisitions are accretive to cash flows and enhance our overall portfolio metrics, including geographic diversification, occupancy, average building age and weighted average lease terms. With newer construction and modern infrastructure and design, each of the properties have limited capital requirements, deliver contractual annual rent growth of over 2% and offer a net lease structure for recoveries of operating expenses. As a result, we believe these two new investment opportunities will provide attractive long-term risk-adjusted returns for OPI. The first property, known as 1K Fulton in Chicago, was acquired for $355 million, representing a GAAP cap rate of 4.7% at closing. This 531,000 square foot property is 73% leased to Google as its Midwest headquarters and more than 99% leased overall with a weighted average lease term of 6.6 years. We are pleased to add Google as our second largest tenant for OPI, providing AA+ rated cash flow and accounting for 3.6% of OPI’s total annualized rental income. This LEED certified property underwent a full redevelopment in 2015 and is located in the highly desirable Fulton submarket of Downtown Chicago, a neighborhood, which has experienced strong population growth among young, educated professionals, attracting Fortune 500 companies such as Google and McDonald’s, which has supported residential and mixed use development. In addition, the Fulton submarket continues to benefit from our rapidly growing presence of both technology and life science companies, providing OPI with a favorable market investment landscape. While we expect to benefit from the current lease term and corresponding cash flow stability, we estimate current rent to be close to 20% below market, providing the opportunity for further upside upon lease renewal. We also acquired the property known as Twelve24 in Atlanta for $195 million, representing a GAAP cap rate of 6.3% at closing. This 346,000 square foot property is 96% leased to Insight Global as its corporate headquarters and more than 98% leased overall with a weighted average lease term of 14.2 years. Insight Global is the third largest staffing company in the U.S. and has experienced solid growth over the last few years, including the addition of 5,000 employees in 2020. This core Class A property was constructed in 2021 and is located in Atlanta’s Central Perimeter submarket, which is the largest employment center in Greater Atlanta and home to Fortune 500 headquarters for Mercedes, State Farm and NASDAQ. Given these dynamics, we believe Twelve24 should provide OPI attractive risk-adjusted returns in a healthy market with a high-quality tenant. Turning to dispositions, as discussed last quarter, in April, we sold our property located in Huntsville, Alabama that was a known vacate in the third quarter for $39 million. In July, we also sold two properties for a total of $7 million, including our property in Fresno, California, that was a known vacate in the fourth quarter. We are pleased to sell these non-core properties as part of our focus to reshape the portfolio and eliminate potential drags in occupancy as well as anticipated capital and downtime. Since the start of our capital recycling program in 2020, we committed to selling properties that are older in age, more capital-intensive or those that have maximized value and exit markets, where we see limited future growth and reinvest the proceeds into higher quality and stronger cash flow producing properties. We have since sold $287 million of properties, while eliminating forecasted capital spending needs of $113 million over a 5-year period. As part of these efforts, we have reinvested those proceeds into properties located in strong growing markets with an average age of close to 3 years and a highly accretive 5-year cash contribution yield in excess of 5%. We believe the execution of our capital recycling initiatives will continue to enhance the quality of our portfolio as supported by key metrics, including the increase of our portfolio wall to 5.9 years from 4.9 years in Q1, an overall reduction of the average age of our portfolio and our expanded footprint in strong growing markets such as Atlanta and Chicago. We expect to continue with our capital recycling program in the future quarters, which Matt will also touch on in his prepared remarks. As was recently announced, in June, we commenced the redevelopment of 20 Massachusetts Avenue in Washington DC. This project will expand the existing seven-story, 340,000 square foot Class B property to a 10-storey, 427,000 square foot mixed-use property that is expected to be completed in early 2023. The redesigned property will feature 184,000 square feet of Class A office space, 14,000 square feet of retail space, a luxuriously appointed hotel and extensive amenities. State of the art design and construction will underscore our commitment to sustainability with a focus on touchless systems as well as LEED and WELL certifications. We are also pleased to be more than 50% pre-leased at this early stage in the project timeline with the execution of a 230,000 square foot lease for a 271-key Royal Sonesta Hotel. Sonesta is one of the largest hotel management companies in the U.S. and the eighth largest hotel brand and franchise company in America. Sonesta currently operates close to 1,300 hotels with over 140,000 rooms and brings growing brand recognition to this distinctive Capitol Hill destination. 20 Massachusetts Ave is located adjacent to Union Station, a major regional transit hub and a short walk to the United States Capitol and Supreme Court. We anticipate total project cost of approximately $200 million with stabilized year returns of 8% to 10%, making this a highly accretive use of capital. Turning to leasing results for the quarter, we are encouraged by the momentum of our leasing dialog and activity in the second quarter. Importantly, we have seen new leasing accelerate, and new deals contributed nearly 50% of our total activity. During the second quarter, we completed 548,000 square feet of new and renewal leasing with a 17.1% roll-up in rent, a weighted average lease term of 16.6 years and leasing concessions and capital commitments of $8.42 per square foot per lease year. We ended the quarter with consolidated occupancy of 89.5%. In addition to the Sonesta – to lease of Sonesta, we renewed the GSA in Cheyenne, Wyoming for 67,000 square feet and a 20-year term and extended the GSA lease in Holtsville, New York for 101,000 square feet and a 3-year term. Both of these tenants renewed with the roll-up in rent of close to 20%, and the overall economics serve as a proud example of how a strategically-located agency can deliver strong investment and leasing results for OPI. Our leasing pipeline remains robust with discussions covering 3.8 million square feet, including more than 890,000 square feet of new and renewal leasing in advanced stages of negotiations, more than 130,000 square feet that has been executed subsequent to quarter end and 1.2 million square feet that could absorb vacant space. This is the fourth consecutive quarter, where our leasing pipeline has been in excess of 3 million square feet, which highlights the growing interest from tenants across our portfolio. I have discussed three of our four known larger vacates for 2021. As mentioned last quarter, at the fourth property in Plantation, Florida, the GSA’s lease expired in April and represent 80 basis points of annualized revenue. The tenant elected to hold over for up to 12 months, and we now anticipate continued occupancy through mid-December 2021. Despite this holdover, activity for private sector leasing has been strong with several large users having acquired into the building, including a signed term sheet for half of the total square footage. Despite the pressure of the last 18 months, our investment strategy and portfolio composition of key industries and tenants has continued to perform well. We are pleased with the successful execution of our capital recycling program and believe we are well positioned to continue to advance our growth objectives. I will now turn the call over to Matt Brown to provide details on our financial results. Matt?
Matt Brown: Thanks, Chris, and good morning, everyone. Normalized FFO for the second quarter was $55.4 million or $1.15 per share, which beat consensus in the high end of our estimate by $0.02, mainly due to operating expenses lagging our forecast based on building utilization levels remaining below our estimates and NOI from the properties we acquired in June. CAD for the second quarter was $33.8 million or $0.70 per share, resulting in a rolling four-quarter CAD payout ratio of 63%. G&A expense for the second quarter was $13 million, which includes $5.9 million of estimated business management incentive fees. Excluding estimated incentive fees, G&A expense was $7.1 million compared to $7.2 million for the same period last year and $6.1 million for the prior quarter. The increase sequentially is driven by annual trustee share grant expense as well as higher base business management fees due to an increase in our average share price in the quarter. As a reminder, incentive fees under our business management agreement with RMR are payable after the end of each calendar year in which they are earned but are recognized in the calculation of net income in accordance with GAAP in the first, second and third quarters, if applicable. We do not include such expense in adjusted EBITDAre or normalized FFO until the fourth quarter when the final incentive fee amount is determined. The incentive fee accrued in the second quarter is based on OPI’s total return in comparison to the index over the 3-year measurement period. OPI outperformed the index by 15.1% with a total return of 31.5%. This equates to an estimated annual incentive fee of $22.2 million. The incentive fee accrual may increase or decrease over the remainder of the year depending on how OPI performs relative to the index. Interest expense for the second quarter was $29 million, an increase of $200,000 from the prior quarter. While interest expense increased sequentially, we expect interest expense to be between $26 million and $27 million for each of the third and fourth quarters of 2021. The expected decline from Q2 is primarily due to the accretive bond offering in May, in which we raised $300 million of 2.65% unsecured senior notes and used the proceeds to redeem $310 million of 5.875% senior notes and the prepayment of $71 million of 3.55% mortgage debt in June using cash on hand and borrowings under our unsecured revolving credit facility. The May bond offering was 6x oversubscribed, and we believe this indicates a positive investor outlook for office real estate. The opportunistic debt management will result in interest expense savings of approximately $10 million annually. Turning to property level results for the quarter. Same property cash basis NOI decreased $2.7 million or 3.1% compared to the second quarter of 2020, slightly outperforming a low end of our guidance range of negative 3.5% to 5.5%. As expected, the decrease was mainly driven by a reduction in rental income of $2 million, driven by declines in occupancy as well as an increase in operating expenses of $700,000, mainly due to increases in real estate taxes. Turning to normalized FFO and same property cash basis NOI expectations, we expect third quarter normalized FFO to be between $1.20 and $1.22 per share, driven by the following: an increase of $0.16, including $0.11 from the June acquisitions and $0.05 from the Q2 bond offering and redemption activities described above, offset by a decrease of $0.10, including $0.07 due to increased operating expenses and $0.03 from the sale of the Fresno, California property in July. We expect third quarter same property cash basis NOI to be flat to down 2% as compared to the third quarter of 2020. Turning to capital expenditures and the balance sheet, we spent $19 million on recurring capital during the second quarter, and we expect recurring capital expenditures for the full year to be between $75 million and $80 million. As Chris mentioned, we also commenced our redevelopment of 20 Mass Ave in June and spent $10.3 million in the second quarter. We anticipate delivery in the first quarter of 2023 and total project cost of approximately $200 million, of which $46 million is expected to be spent in 2021. At June 30, our leverage was 6.9x, pro forma for the two property acquisitions in June, which were funded using cash on hand and approximately $350 million of borrowings under our $750 million revolving credit facility. We expect to dispose off non-core properties under our capital recycling program to repay debt and manage our leverage levels and have approximately $300 million of properties in the market or identified for disposition that we plan to bring to market in the near-term. We currently have $380 million outstanding and $370 million available on our revolving credit facility. We are pleased with the execution of many of our core business strategies in the second quarter, which have enhanced the quality, diversity and security of our portfolio. Operator, that concludes our prepared remarks. We’re ready to open the call up for questions.
Operator: And our first question today comes from Bryan Maher, B. Riley FBR. Please proceed.
Bryan Maher: Couple of questions on Mass Ave, which looks fantastic on the website that you have, explaining what it’s all about. That $200 million of cost, is that going to be a fixed cost, is there guarantees by the builder on that?
Chris Bilotto: Yes. I mean, typically – Bryan, this is Chris. Good morning. Typically, with these projects at this side, it’s kind of a GMP. So on the onset, we structure kind of the agreement, where we kind of lock in pricing and then anything that is in excess would be borne by either the contractor or if needed, through use of contingencies. So for that particular project, we’ve bought down a lot of the job already. And so, I think we feel pretty comfortable where that number is trending.
Bryan Maher: Okay. And I think, you said, $46 million will be spent on it in 2021. Does that include the $10 million, I think, you referenced in 2Q?
Chris Bilotto: Yes. That’s inclusive.
Bryan Maher: Okay. So roughly, $150 million, $155 million in 2022 or do you expect some of the balance to carry over into 2023?
Chris Bilotto: There is a portion that will carry into 2023, and I think the number is trending right now at less than $20 million.
Bryan Maher: Okay. And then as it relates to those two office properties you recently bought in Chicago and Atlanta, how did you source those and via that sourcing, kind of how deep is the pipeline of other similar assets that you could acquire?
Chris Bilotto: Well, I think from a sourcing initiative, I mean, through kind of our manager and our acquisition team, we’re sourcing opportunities rarely. I think, we see most, if not all deals out there, whether individual acquisitions or other opportunities. And so these two deals came to us through that kind of venue and then our relationships with brokers. And so with respect to how many other deals like this are out there – I mean, as far as our pipeline goes, I mean, our focus now coming out of these acquisitions is kind of back into some capital recycling. But there is a handful of deals out there in the market, kind of similar quality. And so I think, we evaluate them on a case-by-case basis. But again, these kind of came through our channel and relationships.
Bryan Maher: Great. And then just last for me. And I think, you commented on this in the last quarter’s earnings call. But based upon how the last 3 months have unfolded, can you give us your updated thoughts on where year end occupancy shakes out, maybe plus or minus 50 bps?
Chris Bilotto: Yes. I think, it’s relatively the same, Bryan. I mean, I think, we’ve talked about kind of the 89% to 91%, and I think it kind of stands there with some of the moving pieces that we still have with kind of leases out there for pending execution, things around kind of capital recycling. I think, we feel that that’s a pretty good number to stand by.
Bryan Maher: Okay, thank you. That’s all for me.
Chris Bilotto: Thank you.
Operator: [Operator Instructions] At this time, our next question comes from Vikram Malhotra of Morgan Stanley. Please proceed.
Vikram Malhotra: Thanks so much for taking the questions. I guess, just maybe first one. Given the – given sort of the acquisition disposition kind of faith and just the differing cap rates in terms of what you’re paying for acquiring versus the disposition, I think, some of these cap rates seem pretty high. I’m just wondering, if you can give us a sense of like how – and then obviously, the CapEx implications of the newer assets, can you give us a sense of how CAD is likely to trend or maybe even just from a dividend payout perspective over the next few quarters?
Matt Brown: Yes. The acquisitions from a CAD perspective are accretive, so we expect it to be favorable. As it relates to dividend coverage, our rolling fourth quarter coverage is 63% currently, absent potential incentive fee paid to our manager, we expect 2021 payout of about 70%.
Vikram Malhotra: And that excludes the incentive fee, correct?
Matt Brown: That’s right. With the incentive fee, it’s right around 80%.
Vikram Malhotra: 80%. Okay. And then, I guess the – if we think about the overall occupancy, you mentioned kind of a view of where we could check out near-term. I’m just wondering like bigger picture, given sort of the government exposure, I think, a couple of days ago, the GSA announced that they are going to be offering temp space or build out temp space for other – for different federal branches, and they expect their office space to – the needs to shrink over time. I’m just wondering kind of how you – can you combine that with sort of the known move outs? Are there risks to the portfolio you see in terms of potential decline in usage of space on a more permanent basis from the government agencies?
Chris Bilotto: Yes. So I think a couple of different things. I think, right now, kind of the office of personal management had a memorandum that went out, I think it was in June, to kind of get feedback from the agencies around; one, kind of their re-entry plans and timing on utilization; and then two, at an agency level about kind of how they think about the future of the workplace. And so it’s going to be heavily driven by agency in addition to kind of the new commission and the GSA and then that administration. And so I would say that because I think the outcome of some of that feedback is going to drive that decision, which, I think, over time, we will learn more about. I would say, today, where we stand, when you kind of look at our makeup, 22% of our annualized revenue is with the Federal Government. I would say about half of it today is more kind of defense mission-driven, meaning highly secured facilities. And in those cases, those tenants want to retain control of the building or certain areas within a building. And so the likelihood of them consolidating or condensing within a building, it seems less likely. And then, outside of that, I think, it’s just going to be – I think, forward-facing agencies, we would expect to see some shifts in their program, which represents a lesser percentage for us. And I kind of look to our results, I mentioned a few leases or transactions this quarter with the GSA. And both of those, I would say, are kind of the non-partisan, meaning the ones that are more highly likely, in our view, to downsize or consolidate. And in those cases, I mean, they are extending, in one case, for a 20-year term and the other case for 3-year term. And so I think, the short of it is, it remains highly evolved along what agencies will do. And I think our experience with the government is that it’s much more difficult to get space given the process if you give space back. And so I think, they will be very mindful of kind of how they roll out that plan and how much they elect to give back, if any, depending on the circumstances.
Vikram Malhotra: That makes sense. Just related to that, if you could clarify any update or any changes to kind of the known move outs over the, call it, the next 18 months into ‘22?
Chris Bilotto: Yes. So typically, we like to provide 12-month guidance on known move outs. And so when you kind of carve out the disposition of Fresno, we had about 5.6% of our annualized revenue expiring between kind of Q3 and the end of Q2 next year. And so we think about 2% of that is the known vacate. And really, it’s kind of smaller tenants that make up that list. We talked about the lease with Plantation, Florida being 80% – 80 basis points and also how we have a signed term sheet for half that space already. And then the rest is just a handful of smaller tenants across the portfolio.
Vikram Malhotra: Okay, great. And sorry, just last one. On CapEx, you talked about incremental investment, redevelopment, you gave the capital spend for this year. I am just wondering, like as you make these portfolio changes, combined with potentially a little bit more of a work from home or work from anywhere model, where do you see sort of the CapEx load on a per square foot basis or percent of NOI basis? Where do you see that trending kind of over the next 2 years or 3 years?
Chris Bilotto: I mean, from – I mean, I can answer it in two parts. I will talk quickly about kind of leasing-related capital. I think, from a leasing-related capital, I think over the last, we will call it, six quarters, it’s slightly increased, mostly due to kind of concessions and maybe being a little bit more heavily weighted on TI, just kind of given changes to the economic environment. And so I think that kind of over the short-term, I would expect that kind of the leasing capital per square foot would be elevated. But we have started to kind of see it level out a little bit. And from a building capital…
Matt Brown: Yes. So, on a building capital standpoint, as we execute on our capital recycling and sell-out of older, more capital-intensive properties and acquire kind of first-generation buildings, we would expect that to trend down.
Vikram Malhotra: Okay, great. Thanks so much.
Operator: [Operator Instructions] Our next question comes from Jason Idoine of RBC Capital Markets. Please proceed.
Jason Idoine: Yes, just following up on Vikram’s question. On the leasing, I am curious to – as to how concessions and tenants’ requests are changing today versus pre-COVID. So, if you could kind of touch on where the markets are today. And I know you said that you would expect it to trend lower, but I guess, what would the timeline for that be?
Chris Bilotto: Yes. So I guess kind of just going back to my previous comment. I think we are seeing kind of the capital cost per square foot per year, slightly increasing from pre-COVID. And that’s – I think that while it’s leveled off, I think it will stay elevated into the – to near-term or maybe into kind of early next year just based on where our pipeline is at. And from a kind of other concession standpoint, I would say, things around free rent have leveled off, albeit they still are elevated from where they were several years ago. I think what we are seeing more of with respect to tenant requests is things about kind of expansion and controlling kind of ROFOs or ROFRs being requested that are baked to leases. And so I think that’s just a function of tenants who want to kind of commit today having room to grow with some form of control in their lease. And so I would say that those are really kind of the three areas where we are seeing various levels of movement.
Jason Idoine: Got it. Okay. And then, on the – I guess, the Seattle lease with F5. Any updates on that? I think that that’s right outside the 18-month window, but any updates on like leasing activity or what the tenants plans are there?
Chris Bilotto: Yes. So, that’s a lease that expires in July of next year. The plan there, it continues with what we have talked about historically, where we are focused on evaluating that for a partial conversion to life science. It’s three buildings, and so we are in the kind of the process of evaluating how much of that square footage we want to consider converting. And so from an activity standpoint, we do have activity from life science users for the space. And so I think, it’s promising. That’s a market that’s continued to kind of see an uptick in trends with respect to gravitation towards more life science users. And we would expect that there is an outcome where a portion of buildings will be converted. And so I would venture to guess within this next quarter, we should have a little bit more definitive direction on timing, costs, kind of returns and other things to share.
Jason Idoine: Got it. Okay. And then last one for me. Just on the acquisition market, could you just touch on like the volume of deals you are seeing in the market relative to, I guess, the last couple of quarters? Are those – are you seeing more deals come to the market? And also what type of assets are you seeing coming to the market?
Chris Bilotto: I think the activity has been pretty consistent. I mean, we have seen elevated transactions coming to the market ever since kind of the turn of the year. And so I think that flow has been relatively consistent since. So – and again, this is a variation of kind of the single tenant, high credit, well-leased buildings, and then, what I might consider as maybe a little bit more core plus as well. So – but otherwise, volume itself is – at least deals out there has been pretty consistent.
Jason Idoine: Got it. Thanks, Chris.
Operator: This concludes the question-and-answer session. At this time, I would like to turn it back over to Mr. Bilotto for any closing remarks.
Chris Bilotto: Well, thanks for joining us today. We look forward to updating you on our progress this year and hope to see many of you at some of the upcoming conferences.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.